Operator: Ladies and gentlemen, thank you for standing by. And welcome to the StealthGas First Quarter 2020 Conference Call. During the call, all participants will be on a listen-only mode. [Operator Instructions] I must advise you that, the call is being recorded today on Tuesday, the 26th of May 2020. And I should now hand over to your host, Michael Jolliffe. Please go ahead.
Michael Jolliffe: Good morning, everyone. Welcome to our first quarter 2020 earnings conference call and webcast. This is Michael Jolliffe, the Board Chairman of StealthGas. And with me on the call is our Chief Executive Officer, Harry Vafias; and our Finance Officer, Fenia Sakellaris, who will later on discuss our financial performance. Before we commence our presentation, I would like to remind you that we will be discussing forward-looking statements, which reflect current views, with respect to future events and financial performance. At this stage, if you could all take a moment to read our disclaimer on slide 2 of this presentation. Risks are further disclosed in StealthGas filing with the Securities and Exchange Commission. I would also like to point out that all amounts quoted unless otherwise clarified are implicitly slated in U.S. dollars. Slide 3, summarizes the key highlights of our first quarter 2020 that we released today. It is widely acknowledged that the COVID-19 pandemic and subsequent lockdowns have disrupted economic activity and demand. This has had a major impact on global shipping markets. Indeed, we are experiencing unprecedented times and great uncertainty as to when global demand will be restored thus returning shipping activity to normality. Since the beginning of the year, when the COVID-19 started spreading across China and to its neighbors, our market's positive momentum was significantly altered, began to face weaker demand, port restrictions, and safety regulations that resulted in a slowdown of shipping trade. Nevertheless, our good quarterly results are our testimony that StealthGas' defensive positions is weathering well this unprecedentedly bad storm. Our period coverage allowed us to commit less than 10% of our voyage days in the spot market. Hence, we minimized the rippling effects that poor spot activity and prolonged waiting times may have had on our fleet performance. We managed to achieve an impressive, given market conditions, operational utilization of close to 98%. Going forward, we have about 69% of fleet days secured on period charters for the remainder of 2020, with total fleet employment days for all subsequent periods generating approximately $126 million in contracted revenues, undoubtedly providing us with a good shield against these uncertain times. Focusing on our financial performance highlights. Our voyage revenues came in at $34.4 million, a decrease of $4.1 million compared to the same period of last year, solely attributed to our strategic fleet contraction. Our daily time charter equivalent continues to rise. Compared to the fourth quarter of 2019, our daily time charter equivalent increased by about $400 even though our daily spot revenues marked about 15% decline. With an EBITDA of about $16.5 million, we generated a net income of $3 million corresponding to an earnings per share of $0.08, thus marking one of our best performances in the past couple of years. We do need to note that this quarter we also faced substantial technical damages on one of our small LPGs, consequently burdening our operating costs by almost $1 million. The positive aspect is that this damage is liable for insurance reimbursement. Last, but not least, we created value for our shareholders by purchasing during April 2020 through a tender offer almost 1.4 million gas shares for a total consideration of nearly $3 million. Please move to slide number 4, which provides an analysis of our fleet employment. In terms of charter types, out of a fleet of 41 operating vessels, excluding our 8 joint venture vessels, we have 11 of these on bareboat, 25 on time charters, and 5 in the spot market. Given market uncertainty and volatility driven by demand variations, we strive to minimize our spot exposure to the extent that our market permits us to do so. During the past three months, we concluded four new charters and charter extensions isolating as most important the time charters concluded for two of our tankers. Indeed, our Aframax tanker, the Stealth Berana is now under a one-year time charter, whilst one of our product tankers will commence a two-year time charter at a quite competitive rate. Overall, we have a solid fleet employment. Our period coverage for the remainder of 2020 is in the order of nearly 70%. More specifically, our average fleet coverage for the third quarter is 79%, while for the fourth it is in the order of 72%. Our contracted revenues are in the order of $126 million with about $67 million secured up to the end of 2020 corresponding to an average daily time charter equivalent of about $9,700. One of our main risks or opportunities depending on how you view the market is the fact that we have 17 vessels concluding their period contracts thus opening up until the end of this year. In slide 5, I would like to provide a summary update as to our two joint venture performances. With regard to our first established joint venture, that compromise in its – it -- sorry, that comprises in its majority of small LPG vessels, we currently have three out of the five total vessels under time charter contracts. Given the soft market conditions, the two vessels in the spot market marked a poor performance and consequently did not add significantly to our bottom line. Focusing on our second established joint venture, comprising of three medium-sized gas carrier vessels, these are all under time charter contracts thus producing a steady cash flow. Current average daily time charter equivalent is in the order of $17,500. Earlier this month, we concluded the financing of these ships at quite attractive pricing. In terms of our fleet geography presented in slide 6, our company focuses on regional trade and local distribution of gas. This graph is a snapshot of the positioning of our LPG vessels, brackets excluding our joint venture vessels, and as of May 18, 2020. Currently, we have 15 of our LPG vessels trading in Europe, an equal number of vessels trading in the Middle East, Far East, and three vessels in Africa and four in America. I will now turn the call over to Fenia Sakellaris for our financial performance. Thank you.
Fenia Sakellaris: Thank you, Mr. Jolliffe, and good morning to everyone. I will continue the presentation focusing on our financial performance for the first quarter of 2020. Indeed, we enjoyed the profitable quarter, a quite impressive result given the very difficult market we have been facing since the COVID-19 became a pandemic. Our success strategy relied on minimizing our exposure in the spot market, preserving a strong operational utilization and reaping the benefits of concluding additional period charters. Let us move on to slide 7 where we see the income statement for the first quarter of 2020 against the same period of the previous year. Voyage revenues came in at $34.4 million, marking a $4.1 million decrease compared to the same period of last year. This contraction in revenues is due to the net reduction of our average owned fleet by four vessels. two less chartering vessels and one vessel previously on time charter, which commenced a bareboat charter. Voyage costs amounted to $2.8 million marking a 27% decrease compared to Q1 2019 due to spot days reduction by 43%. It's noted that the sharp decline in fuel price from March onwards was not reflected in this quarter's result. We anticipate seeing a fall in our bunker costs in the next quarter. Based on the above, our net revenues for the period were $31.5 million corresponding to a net revenue margin of 92%. Running costs at $13.2 million marked about 3% increase compared to Q1 2019. On this quarter, we incurred heavy costs of about $1 million for the technical damage in one of our small LPGs. General and administrative costs decreased compared to the same period of last year by about $500,000, mainly as our stock compensation plan active in the same period of 2019 ended in August 2019. Based on all of this, our EBITDA is in the order of $16.5 million. Interest and finance costs marked close to $1.7 million decrease, mainly attributed to the lowering of our debt and LIBOR decrease. Based on all the points analyzed above, we ended the first quarter of the year with a net income of about $3 million corresponding to an earnings per share of $0.08. Slide 8 demonstrates our performance indicator for the periods examined. As mentioned earlier on, our operational utilization for Q1 2020 was in the order of 98%, which marks a strong performance given the tight market conditions. In terms of our adjusted time charter equivalent, we noticed a rise on a quarterly basis by about $300 daily, an outcome of improved time charter rates. Looking at our balance sheet slide 9, our free cash has dropped given the all-cash purchase of the three MGC vessels operating under our recently established joint venture arrangement. However, as financing for this vessel has been already drawn StealthGas cash will increase once more in the second quarter by about $25 million via a return of equity from the MGC joint venture. Our gearing is in the order of 37.5%. Based on our scheduled principal repayments, we will reduce our leverage by around $40 million per year. We have no balloon refinancing due in 2020, with minimal balloon obligations of around $30 million in 2021, for which we have already entered into discussions for refinancing. I will now hand you over to our CEO, Harry Vafias, who will discuss market and company outlook.
Harry Vafias: On slide 10, we see the market fundamentals for the LPG market look promising up until the end of February. Since then the global spread of COVID coupled with the recent oil price collapse have caused turmoil in world markets. According to a forecast produced by Poten & Partners, global LPG demand is expected to rise by two million metric tons in 2020 to reach a total of 256 million implying a slower growth driven primarily by lower global demand. During the first quarter of 2020, trade due to COVID-19 was mostly disrupted in the Chinese market. This is evident when looking at the number of small to medium LPG ships discharging in China during this period as their port calls were down by 41% year-on-year, and in February – and 28% year-on-year in March. In addition to the global COVID-19 lockdown, which caused a sharp decline in LPG demand, lower crude oil prices make LPG uncompetitive on a price basis against naphtha, thus reducing petrochemical demand for LPG. This is a risk element in our market going forward. By the end of the first quarter 2020 we witnessed two factors that partly offset the general negative market sentiment. Firstly, was the gradual lift of COVID-19 lockdowns in China thus accelerating the PDH plant operations. Second, was the Indian government announcing new subsidies for LPG for household consumption, thus providing a boost to LPG demand. Another positive element worth to mention is that the U.S. shipments to China resumed with the end of tariffs in March hence broadening the existing LPG trade patterns, mainly for the VLGCs. On slide 11 we see that during Q1, rates for the majority of small LPGs slightly weakened. West of Suez the market was relatively healthy up until the end of the first quarter. However, our exposure to that market has been very limited as the vast majority of our ships in that area are on period charters. East of Suez the market has been feeling the effects of COVID-19 pandemics since February, when China went into lockdown. At that point, we saw a big drop in petchem cargoes. And although, the LPG was moving at reasonable levels, it was not enough to keep the market from softening. Since China started to reopen, we have seen more movement on the petchem side. In the time charter market, we have seen only a few short period of deals done and some renewals as to the existing time charters. We have yet to see increased interest from charters in new longer period term deals. In slide 12, we provide a summary, review of demolition activity and order book. In relation to scrapping, the small LPG pressurized segment has an average age of 14 years. It has substantial old tonnage though. 26% of the fleet is currently above 20 years of age. Since the beginning of 2020, we have recorded the demolition one pressurized ship. Overall, scrapping has come to a halt in the past few months mainly due to COVID-19 lockdowns. It's anticipated that demolition activity may intensify once countries like India open up. As per published newbuilding orders there are 16 vessels that is 4.5% of the total fleet to be delivered until the end of 2022, a relatively small order book. In slide 13, we discuss the company's outlook commencing with our share performance for the past five months. The performance of our stock is presenting along with selected gas carriers peer group and the price of oil. During the global COVID-19 outbreak, demand fell for petroleum products. Additional pressure on oil prices was exerted after OPEC and related allies disagreed to extend production cuts in March. Inevitably these events severely affected energy-related stocks which from March onwards marked a negative and declining performance. The stock of StealthGas followed the same market trend, but was to an extent assisted by the tender offer we commenced at the end of April. In slide 14, we are outlining the key variables that will affect our performance in the quarters ahead. Given the market turmoil, it's quite difficult to make firm predictions and therefore we will not present an EBITDA forecast as we normally do. We have isolated three key points that may assist our financial performance in the upcoming periods. First, is that we have quite high period coverage thus shielding us from any market volatility we might face. Secondly, we have the majority of our tankers on period charters and all of our 422,000 cubic meters semi-refs on time charters as well. Lastly, but as most importantly, we are under a very low LIBOR rate environment hence our finance costs will decrease further. We have 17 vessels concluding their period deployment until the end of 2020. The majority of these vessels are situated in Asia where currently the market is slightly better than it is in the western side. In addition this year, we have quite a heavy drydocking schedule with nine scheduled drydockings and three water ballast system fittings with a total budget of about $7 million. Therefore, our cost base is quite burdened. The most important and now known variable however is the uncertain market that we are in and the evident impact of the COVID-19 pandemic has had on the industrial demand for LPG. Obviously, everyone is wondering whether we'll have a second wave of COVID-19 infections in the fall or not. Concluding our presentation with slide 15, we present a brief summary of our companies and markets strong points and remain confident that once the COVID-19 pandemic eases, StealthGas is quite flexible to grasp all the market opportunities that may arise. At this stage, our Chairman of the Board, Mr. Jolliffe will summarize the concluding remarks.
Michael Jolliffe: The first quarter of 2020 commenced quite promisingly for our performance and profitability. Indeed, we are pleased that we generated net income of close to $3 million with a very strong operational utilization of 98%. However, the COVID-19 pandemic has had a significant negative effect not only on the shipping markets, but also on the global economy. Future periods are consequently governed by a question mark around LPG demand and period chartering activity. In the short run, the market has markedly deteriorated and although StealthGas is quite protected due to high period coverage and very low debt, no prediction can be made for how long the COVID-19 pandemic will be a major global concern, severely affecting the whole of the shipping industry and the resulting impact on our company. A second wave of this pandemic outbreak may hit this winter and StealthGas is already taking a defensive position in order to ride out this storm as smoothly as possible. We have now reached the end of our presentation and we would like to open the floor to your questions. So operator, please open the floor.
Operator: Thank you very much, sir. [Operator Instructions] Our first question for today is from the line of Randy Giveans from Jefferies. Please go ahead.
Randy Giveans: Howdy, team StealthGas. How are you?
Harry Vafias: Hi, Randy. Hope you're well.
Michael Jolliffe: How are you doing, Randy?
Randy Giveans: Great, great. Yes. Nice and safe. A few questions for you. So first, looks like utilization remained near 98% or so for, kind of, a third quarter in a row. Now that we're more than halfway through the second quarter, what do you expect utilization to be this quarter or what have you seen it over the last six weeks? And then also your press release stated, and Michael you stated that in the short run, the market has deteriorated, right? What are the current spot rate levels for the small LPG vessels compared to the 1Q 2020 rates you show on slide 11?
Harry Vafias: Thank you, Randy. On the first part of the question, I would take utilization a few notches down in Q2. I cannot give you an exact figure, but you can take your guess on that. On the matter of the rates, it's not that rates have -- it's not that spot rates have fallen that much. It's that we have fewer cargos available in the spot market. And therefore, if you have spot ships, you have more waiting time in between the cargos thus eating away your time charter equivalent. So, I would use 10% to 15% lower spot rates for Q2.
Randy Giveans: For Q2, got it. Okay. And then, looking at your fleet, so it looks like all five of the JV acquisition vessels have been delivered. Is that right? And are there any others kind of planned or to be delivered?
Harry Vafias: Sorry. Did you say five?
Randy Giveans: Yes, for the JV vessels?
Harry Vafias: That is wrong. The total number of ships is eight. It's five belonging to the first JV and three belonging to the second JV, all of which have been delivered.
Randy Giveans: Got it. And in terms of future plans for those JV acquisitions?
Harry Vafias: No. No plans for acquisitions right at this minute.
Randy Giveans: Okay. And then on the time charters, can you give some details on rates around those four time charters, especially, on the crude and the products vessels?
Harry Vafias: We haven't given the exact numbers. But for calculation purposes, we can say that the Aframax from its previous rate, of course, we have to add then deduct, because the previous rate was a variable rate and the current rate is a time charter rate. But comparing apples with apples, I would say, that is in the region of 30% better for the Aframax. And for the MR, the one single MR that we fixed, I would say, it's in the region of 15% better.
Randy Giveans: Got it. And a last-minute question. To me those are bareboat. Those are both time charters now?
Harry Vafias: Yes. These new fixtures are time charters.
Randy Giveans: Excellent. All right. And then kind of last question here, just around the tender offer. You were able to repurchase about 1.4 million shares. You offered up to buying back 4.8 million shares, so you spent a little under $3 million out of the $10 million. So with that, do you repurchase more shares now in the open market? Do you do another tender offer? What are the kind of the plans for the remainder of that, let's call it, $7 million that's earmarked for share repurchases?
Harry Vafias: That's a good question Randy. We have not discussed with the Board, because as you were very curious, they are also very curious about what will happen this summer. So, I think, we have to wait a bit to see what happens with the LPG trade, the LPG demand, the time charter interest for our ships. As you saw, we have quite a few opening up until December. And depending on what we see, we will then decide on a Board level how to spend the money that we did not spend in the last tender offer.
Randy Giveans: Got it. Okay. And then just for our model, what's the current share count following the tender offer? Are we around 38 million shares?
Harry Vafias: I don't have the exact number off my head. I don't want to give you a wrong number. So, we'll have to e-mail you on that.
Randy Giveans: Fine. Sounds good. Well, that's it from me. You'll stay safe, stay healthy and talk soon.
Harry Vafias: Thank you, Randy.
Operator: [Operator Instructions] The next question is from George Berman from CL Securities. Please go ahead.
George Berman: Can you hear me?
Harry Vafias: Hello George.
George Berman: Hey. On your MR tankers, are you running them clean or dirty?
Harry Vafias: Good question. Mixed.
George Berman: Mixed. Okay. And I want to talk about the buyback. In previous calls, you had mentioned that the volume wasn't strong enough. Explain why you think that so few shares were given into your tender offer.
Harry Vafias: I cannot be in every shareholder's mind George, maybe because they're bullish about the future.
George Berman: Or the price was apparently at a very, very low level? As a continued shareholder in the company, despite the difficulties here, we'd appreciate if you would consider re-upping that offer at a little bit higher price. Because I think essentially your company like so many shipping companies are trading at almost ridiculous discounts.
Harry Vafias: Yes. George, I think we have discussed many, many times. And I just answered exactly the same question to Randy. So, depending on what happens this summer and if we don't see a complete destruction of LPG demand, the money that we did not spend on the previous tender offer might be redirected for more share buybacks.
George Berman: Great. And then you had mentioned the numbers for this quarter could have been even higher by $1 million if it was not for the damage to one of your vessels. When do you expect to get the insurance reimbursement there?
Harry Vafias: That is not an easy question because as you know the insurers try to find every kind of exclusion not to pay you fast. But I would say between 30 and 60 days.
George Berman: Okay. Great. Thanks very much and good luck for the future.
Harry Vafias: Thank you, George.
Operator: [Operator Instructions] There are no further questions that are coming through.
Harry Vafias: We would like to thank you for joining us at our conference call today and for your interest and trust in our company. We look forward to having you again in our next call for our second quarter results in August. Thank you very much.
Operator: Thank you very much sir. Ladies and gentlemen, that does conclude the call. Thank you all for joining and you may now disconnect.